Operator: All participants thank you for standing by, the conference is ready to begin. Good morning. I would now like to turn the meeting over to Mr. Jamie Porter, Chief Financial Officer. Please go ahead.
Jamie Porter: Thank you, Operator. And thanks to everyone for attending Alamos’ First Quarter 2018 Conference Call. In addition to myself we have on the line today, both John McCluskey, President and CEO; and Peter MacPhail, Vice President and Chief Operating Officer. I would like to remind everyone that our presentation will be followed by a Q&A session. On this call, we will be making forward-looking statements. Please refer to the disclaimer on forward-looking statements in our news release and MD&A, as well as the risk factors set out in our Annual Information Forms. All forward-looking statements on this call are qualified by these cautionary statements. There can be no assurance that our forward-looking statements, even though considered reasonable by management based on information on hand, will prove to be accurate. Future results and events could differ materially. Technical information in this presentation has been reviewed and approved by Chris Bostwick, our Vice President of Technical Services and a qualified person. Also, please bear in mind that all of the dollar amounts mentioned in this conference call today are in U.S. dollars, unless otherwise noted. With that I’ll turn it over to John to provide you with an overview.
John McCluskey: Thank you, Jamie and welcome everyone to the conference call. We had an excellent start to the year producing record 129,000 ounces of gold at all in sustaining cost of $935 per ounce, this marked our fourth consecutive quarter of record production and was driven by strong performances at our Mulatos and Island Gold mines with both exceeding expectations in the quarter. Mulatos delivered one of its strongest quarters in years with production increasing to 46,000 ounces while Island Gold set a new record with production of 28,100 ounces in its first full quarter under our ownership. Given the stronger than expected start to pull operation, we've increased our 2018 production guidance to a range of 490,000 to 530,000 ounces of gold. We expect to produce approximately 125,000 ounces in the second quarter at slightly higher all in sustaining cost followed by higher production lower cost and lower capital spending in the second half of the year, this will be driven by stronger results from Young-Davidson, with production backend weighted and the completion of the expansion at Island Gold to 1100 tons per day. Island Gold continues to impress and exceed expectations on all fronts, the mill expansion is advancing and on track to be completed by the end of the third quarter. We expect this to drive significant production growth in the fourth quarter and in 2019, We continue to demonstrate improving financial performance with cash flow from operations in the first quarter of 63 million the highest level in years. We also generated 24 million of mine site free cash flow and 7 million of companywide free cash flow both up sharply from a year ago. We expect to build upon the success with strong free cash flow growth from our operations in the second half of 2018 and over the next several years. We remain debt free and closed the quarter with $32 million, up $31 million from the end of the year reflecting positive free cash flow growth and monetization of our equity stakes in AuRico Metals and Corex Gold. We realized a gain of 14 million on these investments and total proceeds of $25 million. We have a large exploration budget of $35 million planned for this year, with the primary focus being on Island Gold, where we continue to have success. Having declared 18% increase in reserves and 11% increase in grades at year-end, we continue to encounter encouraging results and expect to have an update on our exploration activities out later this month. In Turkey a snap election was announced in April with parliamentary and presidential elections to be held on June 24, 2018. This was a year and a half earlier than expected but the elections originally scheduled will occur in November of 2019. As a result, we do not expect to receive the GSM permit for Kirazli until half of the election, which will delay construction activities planned for this. Accordingly, we have reduced the 2018 capital budget for Kirazli to 25 million, which reflects spending we can complete prior to receiving the GSM permit. This will be focused on completing the road, power line and water reservoir construction. We will provide an updated capital budget of broadly once the GSM permit has been received allowing for the ramp up of full scale construction activities. After those comments I'd like to turn the call back to our CFO, Jamie Porter, who will talk about the company's financial performance. 
Jamie Porter: Thank you, John. This was our first full quarter including results from Island Gold and we saw an immediate positive impact on our financial results both on an aggregate and on a per share basis. Along with record production we generated record revenues in our highest cash flow from operation since 2012. As John noted we're demonstrating improving financial performance and we expect this trend to continue over the next several years. We sold the 130,000 ounces of gold in the first quarter at an average realized price of $1,331 per ounce, for record revenues of 173 million, consolidated total cash costs were $789 per ounce, 5% lower than the first quarter of 2017. Consistent with our guidance total cash costs were higher in the first quarter and expected to trend lower through the year to average $740 per ounce for the full year. All in sustaining costs were $935 per ounce slightly below full year guidance 8% lower than in the first quarter 2017. All in sustaining costs are expected to increase in the second quarter, reflecting higher budget sustaining capital and then trend lower in the second half of the year. Operating cash flow before changing the non-cash working capital was 63 million up from 34 million a year ago and the highest level since 2012. Cash flow per share of $0.16 was also up sharply from $0.12 a year ago. Our operations were once again free cash flow positive with mine site free cash flow of 24 million coming in well ahead of budget, the bulk of that came from Island Gold and Mulatos with both operations performing above expectations. Companywide Alamos generated 7 million free cash flows in the first quarter. Our adjusted net earnings were 12 million or $0.03 per share in the first quarter up from a loss of 5 million or $0.02 per share, a year ago. Our reported earnings of 0.6 million were impacted by unrealized foreign exchange losses of 11 million and other one-time items totaling less than 1 million. Amortization expense was 42.1 million in the quarter or $324 per ounce up from year ago, reflecting the inclusion of Island Gold which carried a higher amortization per ounce charge. As noted last quarter, we expect amortization average approximately $340 per ounce moving forward. Corporate G&A in the quarter was 4.4 million consistent with guidance and remaining among the lowest in our peer group. Capital spending over the quarter totaled 52 million, of which 11 million was sustaining in capital and 41 million was growth, consistent with our guidance we expect capital spending at our operating mines to increase in second quarter and then decline in the second half of the year. We remain debt free and further strengthen our balance sheet with cash and cash equivalents, increasing to 232 million at the end of the first quarter up from 201 million at the end of December. The increase came through positive free cash flow, as well as the liquidation of our equity positions in our AuRico Metals and Corex Gold, which generated proceeds of 25 million and a gain of 14 million, which was recorded directly in retained earnings. We’ve one of the strongest balance sheets in our peer group and combined with increasing cash flow from our operations we are well positioned to fund our pipeline of growth projects and deliver strong free cash flow growth over the next several years. At this point I’ll turn the call over to Alamos’s CEO, Peter MacPhail to provide an overview of our operations.
Peter MacPhail : Thank you, Jamie. Young-Davidson produced 41,000 ounces in the first quarter, total cash costs of $824 per ounce, and mine site all in sustaining costs, of $994 per ounce. Production was in line with the first quarter of 2017, down from the fourth quarter, reflecting lower underground mining rates in grades. Our paste backfilling sequence limited mining rates at 6,500 tons a day during the quarter and grades of 2.35 grams a ton were slightly below budget due to constraints that’s placed on [sequencing]. As guidance production is somewhat back end weighted this year, we are expecting stronger mining rates and higher grades as well as lower capital spending as we move through the year. Island Gold produced record 28,100 ounces of gold in the quarter and total cash cost of $553 per ounce and mine site all in sustaining costs of $633 per ounce, and mining continued to outperform on all fronts. This was driven by a higher mine rate of 11 grams per ton reflecting both mine sequencing and some positive and great reconciliation. Given the strongest price of the year we have increased 5 and 12-year production guidance between 95,000 and 105,000 ounces of gold. We expect production to come up somewhat in the second and third quarters since great return at budgeted levels between 8.3 and 8.9 grams per ton. We also expect all mine all in sustaining cost to increase reflecting higher sustaining capital. The expansion in Island is on track to be completed by the end of the third quarter driving strong production and free cash flow growth in the third quarter and into 2019. Mulatos also achieved expectations in the quarter with production of 46,000 ounces to total cash cost of $786 per ounce and mine side almost sustaining cost of $842 per ounce. This marks the highest quarterly production since 2013 with the operation benefitting from strong grades and recoveries. We've also found that additional orders at St. Carlos extending the mine life by another quarter. We now expect high grade mill production to continue in the second quarter. Given the strong start to the year and additional production in St. Carlos we decreased our 2018 production guidance for Mulatos between 165,000 and 165,000 ounces. Accordingly, we expect production from Mulatos to decrease somewhat in the second half of the year following the adverse of St. Carlos. El Chanate performed as expected with production of 13,800 ounces and mine side all in sustaining cost averaging $1191 per ounce. We continue to expect mining activities to seize mid-year, though the operational benefit from ongoing production had decreasing rates into the second half of 2018 and beyond due to residual leaching. As production at El Chanate tapers off, this will be replaced by higher margin production growth from Island Gold. We have strong start to the year with both Island and Mulatos exceeding our expectations, we are pleased to have increased our production guidance and look forward to reporting strong production and cash flow through 2018. With that I'll turn the call back to John.
John McCluskey: Thank you, Peter. That concludes the formal part of our presentation. I'd like to turn the call back to the operator, who will open the lines for your questions. Operator? 
Operator: [Operator Instructions] The first question is from Kevin Chiu from CIBC. Please go ahead.
Kevin Chiu: Had a few questions, maybe we will start with Island Gold obviously an impressive quarter with a grade of 11 gram per ton and I know you've said that you expect grades to come back to the plan levels but the mine has shown a remarkable ability to execute expectations on several occasions. Could you talk a little bit about the grade potential or the positive grade reconciliation of the mine and perhaps some of the mine flexibility that you see there?
Peter MacPhail : A couple of things, one is grade reconciliation it has been positive, it was positive in 2017 to a tune of about 10% and we continue to see that sort of trend, hope that's good news, as far as the grade we see go forward for the rest of the year I mean our reserve rate is now 10.2 grams, and it will average that over time obviously, but there’s sequencing involved here and we have more constraints with a mine like Island for instance which is longitudinal retreat so you start at that far end of that deposit and retreat towards the center, great tenacity gets better at the center than is on the extremities, so you’ll go through periods of lower grade material and then higher grade material, and that’s just on the mine and that’s the way we perform and we’ll see fluctuations on quarterly basis.
Kevin Chiu: [indiscernible] I guess it's always good to get when you get it?
Peter MacPhail : So, I mean it continues to positively perform against the model.
Kevin Chiu: And maybe just moving over Mulatos, with the strong Q1 and San Carlos also being extended to mid-year this year would you characterize your guidance as a bit on the conservative side?
Peter MacPhail : No, I wouldn’t say so, I think we’re comfortable with that guidance, we did see higher recovery, some of that was I would say deferred production from Q4 as ounces get stacked later in Q4 and we recover them in Q1, so that won’t continue, I think we’re pretty comfortable with our guidance level at Mulatos.
Jamie Porter: The only thing I’d add there that our cost guidance at Mulatos might prove to be a bit conservative, I think our all sustaining cost guidance for the year is 900, we came in at 842 in the first quarter so if we continue to have strong production and are able to hit the top end of that guidance range you’d expect our cost to be down closer to 850.
Kevin Chiu: And then maybe just a last question on Kirazli and just Turkey in general, does the outcome of the staff [ph] election has any bearing on the GSM permit, or is it just more of an administrative issue that’s holding back the permit?
John McCluskey: I would characterize it as more administrative effectively when an election is called pretty much every governor across the country gets a notice from the Ministry of the Interior asking them to postpone any permit approvals. Certainly, something of the magnitude of Kirazli would fall within that corrective, so at this point that's the way I characterize it. It’s very difficult to say some strange outcome were to happen from the election, whether that would have any bearing, that would be a guess more than anything. My expectation is that soon after the election is finished I am expecting that everything will be set back in motion again and we’ll be seek at the front of the line if you want in terms of getting this final permit for the project. If you keep in mind that every other permit that we require for Kirazli is enhanced, we are really only expecting this, waiting on this last one, and I don't expect certainly from -- I am in Turkey now, as I speak and this from all the feedback I've had over the last week I wouldn’t anticipate any unusual outcome for the selection and I am fully expecting the permit comes shortly after the dust clears.
Operator: Thank you. The next question is, Rahul Paul from Canaccord Genuity. Please go ahead. 
Rahul Paul : Question on the growth pipeline at Mulatos. So, you see that the La Yaqui is now in production I'm assuming quite well so La Yaqui you've indicated that you expect to commence construction and pre-shipping by the end of 2019 and the first production for 2021 and it's in your reserve at this point. When do you expect to provide us with the little more color on the economics as perhaps to study looking at what the capital would be just the pre-steep requirement the production profile and that sort of thing.
Jamie Porter: So, will be submitting, as you know we will be putting in the EIA for Cerro Pelon mid-year and for La Yaqui Grande towards the end of the year I think once we have those approved which should be six months after submission we will update the market with some re-economics. we're not giving a loan feasibility study or anything else on these projects, its internal it will take the same approach we took on La Yaqui Phase I but Cerro Pelon is scheduled to come first and is high return modest capital, and Yaqui Grande should look the same. So, in terms of the overall production profile Mulatos our objective is to stay in around this 150,000 to 160,000-ounce level over the remaining reserve life of eight years but will benefit as our cost are coming down with the royalty coming off next year and bringing power to site, we expect our margins to improve on that future production.
Rahul Paul : And then one question on Turkey, are you aware of any changes being proposed as it pertains to be the investment incentive certificate that projects such as [Indiscernible] maybe entitled to?
Jamie Porter: No were not aware of any changes, in fact we remain in pretty close contact with our advisors and we're in the process of applying for that investment credit certificate, so there is nothing recent that I'm aware off.
Rahul Paul : Okay, and that's typically is awarded after the final permit should be given to you?
Jamie Porter: Typically, that is the case, there is an opportunity to have that award at prior to receipt of the GSM and we're working on that currently. 
Operator: The next question is from David Medilek with Macquarie. Please go ahead.
David Medilek: Firstly, just expanding on Kevin's question regarding Island Gold and the positive grade reconciliation was it a particular area that was driving the positive reconciliation such as a third or fourth mine horizon in 1Q?
Jamie Porter: No, it was actually it was kind of equally far that whether it was still thing redevelopment or and spreads throughout the operation.
David Medilek: Right, right. And secondly, again, on Island. Part of the high grade was said to be related to mining sequence. Has there been any significant modification to the mine plan near term versus the plan that was inherited from Richmont?
John McCluskey: No, we’re pretty much following that PEA plan that was published about a year ago.
David Medilek: Okay, got it. And lastly, on Young-Davidson. Regarding the paste backfilling, sequence limiting mining rates, could you expand on this and how its impact is being mitigated going forward?
John McCluskey: So, at Young-Davidson our mining is transverse long haul stoping, what we need to do is paste fill the primary stopes before we can mine the secondary stopes, in Q4 we got a bit behind on our paste fill, we have some plug pipelines and what not, and that -- we’ve had a backup through Q1 into where we are now. And -- so we are caught backup and we don’t see that limiting us going forward.
Operator: Thank you. The next question is from Dan Rollins from RBC Capital Markets. Please go ahead.
Dan Rollins: John since you’re in Turkey was wondering if you could provide a little more color on the GSM permit, obviously you’ve been expecting it for quite a while and when you release guidance it did seem like the company was pretty hopeful that the permits would come this year. Obviously, the election has potentially pushed that out but how much -- what is your level of confidence on getting it post this election versus beginning of the year and what really is the key to [later]?
John McCluskey: I still remain very confident. If we weren’t as confident as we are, we’d be hard-pressed to explain why we are continuing with the construction of the reservoir and pipeline and power line and road construction, it’s quite a lot of activity we have here we’ve got a 150 people combined working on those various projects. and so I would say that our confidence remains very high. We were expecting the permit this spring and up until I heard about the election being called and really, I don’t mind saying that the indications given to me by the politicians that are sort of directly involved in this is that -- that GSM was coming and then essentially everything was postponed with the call of the election in -- I think it was on April 20th. So, a bit unfortunate for us. I mean we were really expecting the [primitive spring]. The governor last fall had given us the go-ahead to -- and actually assisted us to some extent in getting the work going that we’re doing now, we’ve virtually finished all the tree clearing that was required. Certainly, everything that we could do prior to the GSM permit being received, getting permits for the road and power line for example, those required some local permits being approved and all of that happened with the fairly still process. So, we have been effectively working on this project since the fall of last year. So, it was just a natural assumption that this spring as we are getting certainly towards the end of the year the tree clearing exercise that the GSM permit was going to be issued. But the timing for that was the spring and we were getting towards the later part of the spring and then unfortunately the election was called, that was what essentially what happened. the people that I talked to while in here including the governor have indicated to me that we can expect the permit after the election and it continued to take them at their word and that's what we are expecting. 
Dan Rollins: And then if you would get the permit say at the end of this year is there a period where you can start construction. I know the winters can be a be little bit muddy and difficult from ground conditions. But are you able to construct all year round or if you got it by the end of the year would you need to wait till the spring to start.
John McCluskey: Really that comes down to mobilization Dan and it will depend very much on when precisely the GSM comes. if it comes earlier in the year, in other words just post the election we can get mobilization underway but clearly we can't get into the heart of the construction, the air ports and so forth and until we see good weather in front of us and so I'd say the bulk of the work, the bulk of the expenditure that means would be postponed until probably March of next year, but we would be able to get a fair amount of work completed between say if it were to come sometime in July, August between that period of time and the end of the year. There is a fair amount of work that can be done year around and, in this region, you can have very mild winters which means it could effectively work throughout the year, but there is no guarantee of that. So, what we've done for the time being is we have, we reset the budget to effectively pay for all the work that we are currently doing and some of that work, including the construction of the reservoir that will run right into both November, that's being done in the first public and private partnership at CSI Water Authority has ever done and so as far as permitting and so forth is concerned CSI took care of all of that and there is nothing holding any of that work back. It will just come down to a question of what we think is best at the time the GSM is ultimately granted and how we can ultimately sequence that work to work around the weather conditions.
Dan Rollins: Jamie at the beginning of the call you've discussed the strong balance sheet, obviously you are in control some of your spending, but also starting in late '19 you will start to take out some strong free cash flow Island will be kicking a free cash flow. You are paying at about 8 million, 8 million a year in a dividend so obviously you are still in growth phase but any thoughts about potentially increasing the dividend to increase the yield to make the stock more attractive to generous investors?
Jamie Porter: Dan, I think there is absolutely going to be scope to see to do that, as you point out your production -- as the Chanate production comes off its higher cost but it's also high cash flow [to stop] mining work we are really only aim for our process and cost so we're going to stay around 500,000 for the next couple of years but with the greater proportion of production from Island Gold which is higher margins, so our cash flow is going to increase, there’s absolutely scope to increase our dividend along the way while still retaining the balance sheet strength we need to be able to build our development pipeline.
Operator: Thank you. The next question is from Lawson Winder from Bank of America. Please go ahead.
Lawson Winder: Just a couple of questions from me, so first off on YD just, maybe just flesh out a little bit, what can you call sense, that you’ll ultimately meet the current production guidance, I mean is it something like you’re able to ahead on some of the lateral developments in Q1 or was it just a lot of conservatives originally built into the guidance?
Jamie Porter: YD, you’re talking about YD?
Lawson Winder: Exactly.
Jamie Porter: We’ve done it before, we’ve met 7,200 tons a day before and we expect to do it -- to be able to continue to do it, so we have to create confidence, we’ll be able to do that. The only other point to make is that if you look at our production this quarter relative to Q1 of last year we did better, marginally better but we had 200,000 ounces of production last year, so if you go back and track YD's history, its first quarter performance is always the lowest, picks up in Q2, and has very strong period in fourth quarter, so we’d expect to see kind of seasonality this year and we’re confident we’ll hit that 200,000-ounce mark again.
Lawson Winder: And then just maybe on Lynn Lake maybe you can just update on the timeline on that, so were you intending to provide any sort of economic update before the permits are received and if not, can you just remind us when the permits might be received that are needed to start construction?
Jamie Porter: Lawson we’re in that permitting process now and its nebulous two-year process, we already talked about it used to be a two-year process, we’re in that process now, but as far as economics are concerned, the feasibility study that we continue to work on, continue to work on improvements for that and we expect to improve on that, those utility numbers over the course of the year, I would say.
Lawson Winder: And then could you be providing some sort of update at the end of this year or are you just going to wait until you have the permits before you update us all -- what are you thinking?
Jamie Porter: We probably will update once we get through that process, before the permits are...
Lawson Winder: And then just one last one from me, you guys, I think in the past you disclosed the unit cost mining per ton at YD, I don’t see it in the current one, maybe I am just missing it but if it’s not there are you able to provide what that was?
Jamie Porter: Well Jamie, yes we can, I think when we looked at as the company grows we have more operating mines that makes less sense to go into as much detail in each of our operations and when we’ve put in the table for Island, we note that wasn’t something that we disclosed previously, so we took that out, we came in around CAD$50 cash, underground mining costs, which were up to 44 I think in U.S. for the quarter, we expect that to go down, certainly through the remainder of the year, budget was I think for 2018 is coming around CAD$44 level.
John McCluskey: Part of what drove the cost that high in the quarter was catching up on pastefill, frankly. I mean, pastefill is a significant part of our underground mining cost and we placed record amount in first quarter, that's another reason why we have confidence for we are back on track.
Operator: [Operator Instructions] The next question is from Kerry Smith from Haywood Securities. Please go ahead. 
Kerry Smith: Peter just on the optimization thing that you referenced on Island when would you have the results available for us to look at?
Jamie Porter: Normally it's going to be towards the end of the year Kerry. I think what we're doing is we are spending a bit of a money on drilling we've got been exploration for graduating on their right now or trying to get ahead of these things you are taking us, that all plays into it, so right now we are focusing on the drilling and we will be updating you guys later this month on that. 
Kerry Smith: And just on the positive grade reconciliation that you talked that Island in Q1 was that around 10% then which is what the average was in 2017 or was it better or worse than that. 
Jamie Porter: Now it's been around that range. 
Kerry Smith: Okay, and then if John is still on the line, John just remind me I believe the governor is appointed in Canakkale, can you remind me does he have an actual term or when would his term end?
John McCluskey: Well he is appointed for a term but he doesn’t seem to necessarily follow that a governor always serves for his full-term limit and sometimes he is repointed for another period. I have seen what four different governors in the eight years or so that we have been here, so that's a difficult one to pin down. this particular governor he seems to be very well placed there and I would expect that if he at party was to win the election as they are anticipated to do but this governor would still be there. in fact, regardless of who wins the election he still might be there for a period of time until if another party were to win he wouldn’t just immediately replace all the governors that's not quite the way it works. And by the way the governor of the province he works with everybody and there is a lot of power in the hands of the Mayors in Turkey and in some of the cities in fact Canakkale itself, the principle city of the province is an opposition Mayor. So there are some opposition mayors and some mayors that are aligned with the party and he has to work across party line, so he is really he really tries to be apolitical as far as he is concerned and that's is roll, they try to appoint somebody who can effectively work both sides of the political isle and maintain good relations and effectively get all the things done that are required if you did want the federal government more or less sets policy and then those policies are implemented region by region and its up to the Governor to make sure that all happens.
Kerry Smith: And Peter maybe just one last question on the underground mining rates at YD, your guidance has kind of been over 7,000 tons a day but even at 7,000 tons a day you’d have to run it 7,200 tons a day for the last nine months of the year, so given what Q1 was, so has April been at that rate, or how confident are you in that, that you can stay at 7,200 ton a day?
Peter MacPhail : I guess I’d go back to last year, we looked at our trend we started at in fact lower ounces than we were at right now first quarter and came in at 200,000 ounces, we are trending in the right direction in April, wait and see what the quarter ends up, we are doing better in the April then I would say we did in the Q1?
Kerry Smith: The only reason I asked you last year Q4 was good, average 7,200 ton a day but the other the first nine months of last year probably averaged 6,400 tons a day obviously the mine is more advanced now but anyhow I just was curious how...?
Peter MacPhail : We sometimes take a step up, two steps up and one step back, it’s been kind of a thought to climb to these levels if you look back to the history.
Operator: Thank you. The next question is from Mike Parkin from National Bank. Please go ahead.
Mike Parkin: Just a couple of quick questions, we are seeing Carlos now expanded into middle of the year, is it fair to kind of assume similar grades and throughput to Q1, or would that be a bit aggressive?
Peter MacPhail : It’d started to come off a little bit, we still have a stockpile in front of the mill but the mining is at the same rates as it was -- it's kind of harder and harder grades will be there. The mining rate comes off a bit, the stockpile kind of carries us through.
Mike Parkin: And then Young-Davidson, you put it in a couple of pressure there if you recall in October, how is that running, is that able to keep the mill, I mean is it giving any trouble or did it commission easily?
Peter MacPhail : I think through the winter it was a little bit challenged, I mean we basically commissioned it in the middle of the winter and it was a little bit challenging to make it run in January but it’s running very well now. I think for the last couple of months we’ve been -- it’s been running at - virtually the same the ability of the overall mill is and it is definitely helping us to keep our tons up well above what the underground mine is giving us and as the underground mines gives us more tons it will be that much higher, we’ve got a stockpile of scrap [ph] in front of us that we can -- those scraps has been piled up there over the years when we didn’t have a [indiscernible] now that’s there, we can feed those back through, and we’ve started that process.
Operator: Thank you. The next question is from Anita Soni from Credit Suisse. Please go ahead.
Anita Soni: Just a question with regards to grades I think Mike Perchin asked it mostly but how do you see grades evolving over the course of the year?
Peter MacPhail : Yes, I mean we had guided and we only give annual guidance but we guided that things would be at that backend loaded at YD and brakes were schedule for lower in Q1 and they came in lower at Q1 
Anita Soni: And do you still expect I think to see that it was a 2.65 average over the course of the year?
Peter MacPhail : [Indiscernible] for the overall year and yes. 
Anita Soni: And I'm sorry, I missed the first part of the call but I. not sure if you address this but before Kirazli do you expect that 2020 will still be a full-years' worth of production?
Peter MacPhail : That around 2020 for a full-year of production. No, that with the GSM later this year that would likely push the majority of the construction activities to spring of 2019 which assuming that to 12 to 18 months build pushes production into the latter half of 2020.
Anita Soni: Okay, so we're looking at sort of 50% or less before your run rate in 2020 at this point. 
Peter MacPhail : I think that’s right.